Operator: Ladies and gentlemen, thank you for standing by. I’m Gaily, your Chorus Call operator. Welcome and thank you for joining the OPAP Conference Call to present and discuss the OPAP S.A.’s Full Year 2019 Financial Results Conference Call. All participants will be in a listen-only mode and the conference is being recorded. The presentation will be followed by a question-and-answer session. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Damian Cope, CEO of OPAP S.A. Mr. Cope, please proceed.
Damian Cope: Thank you very much, Gaily. And good evening, good afternoon or good morning to everybody and welcome to OPAP’s Q4 2019 Investor Conference Call. Wherever you are dialing in from, I very much hope that you and your families are all safe and healthy. We’re clearly operating in extraordinary times. And although we will be first providing you with an update on both our results and operational performance of 2019, we will obviously also be elaborating on the current conditions, actions and plans in relation to the ongoing impact of the coronavirus crisis on our business. Together, I’m confident that these updates will demonstrate that OPAP remains a strong organization with a healthy balance sheet and a bright future. After that, we’ll be happy to answer any questions you may have. With that, I’m handing you over to our CFO, Pavel Mucha. Pavel, over to you.
Pavel Mucha: Thank you, Damian and good afternoon to everybody. Starting with the short reference to macro environment, without getting into much detail, metrics upto March were fairly support for our business on almost every front. GDP demonstrated mild growth in Q4. Leading indicators like consumer confidence was setting many new years’ highs, unemployment kept declining, and exports led to the trade balance towards positive numbers. It was those trends that were forming a GDP full year 2020 growth consensus at around 2% while official estimates were even substantially higher number. Currently, however, the coronavirus effect is making projections impossible on every front, but it is obvious that the aforementioned estimates will not be met. Reportedly, the Finance Minister is now expecting a 3% contraction for the year while most analysts are also assuming a considerable and even much higher contraction. It is also clear that the extent of the impact will depend on the crisis duration, especially since Greece is a tourism-driven country, and we are gradually heading to the important tourism season. On the positive side, the fiscal stimulus announced by the government is providing the short-term relief while the European Central Bank under a new temporary asset purchase program over large scale in order to contain spread, while freeing up physical space for governments so as to minimize the effect on economy. Turning from macroeconomic environment to OPAP and going straight to slide eight of our presentation. Q4 was revenue wise the 10th consecutive quarter where we recorded year-on-year quarterly growth. As you can see on slide nine, GGR increased by 1.4% in Q4, driven by increased VLTs contribution and solid betting growth. Q4 marked the successful conclusion of the VLTs rollout. And at the same time, we achieved the highest quarterly GGR. Betting revenues increased by 5.7% in Q4, proving what we were claiming regarding positive like-for-like performance, i.e. excluding World Cup in the previous two quarters. Live betting standing in excess of 40% together with SSBT’s increasing contribution continued to support grows also in the first two months of 2020. Lottery contracted by 7.8% in Q4. This was due to unfavorable Joker jackpot rollovers but mostly came as a result of tough KINO comparisons year-over-year, which is something we productively communicated in Q3 results. And finally, Hellenic Lotteries remained flat in Q4. Moving on to profitability and turning to slide 10. EBITDA for the full year reached €413 million, fully in line with our target and consensuses estimate. More importantly, €413 million implied an increase of 17% year-on-year, which we believe is really quite an achievement, given both our size and our performance versus the economy. Our EBITDA margin for the year jumped to 25.5%, up by 2.6 percentage points year-over-year, proving that GGR growth led to even higher profitability growth, also due to cost efficiency initiatives. In Q4, our EBITDA increased by 3% year-on-year, reaching €112.3 million which is also aided by Stoiximan contribution. Stoiximan Q4 EBITDA contribution is €8.5 million out of which €4.7 million relates to the nine-month period. When excluding that amount together with other one-offs items, which amount in total to minus €2.2 million, led to like-for-like Q4 EBITDA increase by 0.7% to €110 million. Cost efficiencies also helped EBITDA as OpEx wise Q4 was yet another good quarter. Marketing came in at €16.7 million, shaping a full year figure to €61 million which is 5% lower versus last year levels. Note that these savings took place despite the launch of several initiatives and is actually better versus what we were thinking some months ago. Q4 payroll increased by 5% in order to effectively address the increased business requirements, but growing at a lower rate versus previous quarters in 2020. Finally, IT costs were also reduced, reflecting the conclusion of our successful IT restructuring plan. Below the EBITDA line, our net profit has been burdened by impairments of €7.5 million relating to the horseracing and Neurosoft, which now better reflects the Company’s operating performance. Profit after taxes and minorities reached €62 million, up by 62% year-on-year, or by €70 million higher or 27% like-for-like basis, and that’s also aided by a lower 2019 corporate tax rate, which was applied retroactively in the fourth quarter. Q4 performance led to a reported full year net profit of €202 million, crossing the €200 million threshold for the first time since 2016. With that, I’m now handing back over to Damian.
Damian Cope: Thank you, Pavel. Around the world, we’re all having to adapt to the new normal. And certainly the focus within OPAP is without question on the immediate and short-term future. It is however worthwhile to first take you through our achievements for 2019. Starting with our retail networks on slide 14, which has now evolved over the past few years into a healthier portfolio of more modern and attractive local entertainment destinations. Over 500 new or renovated shops and 77 new gaming halls were opened during 2019 and three mega halls, meaning around 40% of our OPAP shops have been upgraded in the last three years. Overall, our fleet of OPAP shops had a net decline of around 130 locations in the year, and it declined by 748 since 2016. During that time, however, the average GGR per shop has increased by 21%, leading to a healthier position on average for each location. We continue to modernize and digitalize the shop experience for our customers by a number of improvements, including deploying even more SSBTs, and installing the latest broadcast solutions. At the same time, we’re further growing our large network of the indirect channel of kiosks, supermarkets in other small locations, which support the distribution of our Hellenic Lotteries products. Turning now to VLTs on slide 16. And 2019 marked the conclusion of one of the largest wide area VLT rollouts in Europe. Thanks to the hard work of many people, both within the Company and within our many partners, OPAP successfully installed the last of the 25,000 VLTs in Q4, which now operate across 420 gaming halls and more than 2,100 OPAP shops. This was completed on time and in full compliance with the relevant legal and regulatory requirements. In terms of performance, the GGR level of €43 per VLT per day achieved in Q4 was the highest figure of the year. We also saw record customer activity with an average of over 130,000 monthly active during the period. Past evidence suggests that this kind of activity during this seasonally important period helps to bring in new recurring players and the initial numbers during Q1 supported this view. We’ve also included on slide 17 a number of key operational metrics that we monitor internally. Overall, it is clear that while we are still improving the overall performance and quality of our offering, we are also maintaining a close control on all of our responsible gaming metrics.  Further relevant VLT information is shared on slide 18, which confirms that our business has been attracting younger audience compared to the traditional OPAP shop audience, with 63% of our VLT customers younger than 45 and women making up 30% of our total base. The split of performance by vendor also demonstrates that we have the potential in the future to improve the mix of the cabinets by allocating more machines to the vendors that perform better. 2019 was an important year for our retail sports betting business on slide 20 as it returned to growth after five years, demonstrating like-for-like high numbers in every quarter. For the full year, like-for-like revenues increased by 8.2%, while a combination of more competitive pricing and an increase in live betting lowered our gross win margins to 24.8% from 28.7% in 2018. Live betting now exceeds 40% of our total turnover and is set to increase further. Likewise, SSBTs generate 20% of our overall wages. And as a result, we’ve seen over the last few years, a steady increase in the share of non-paper betting, in other words, called overall SSBT betting. And now 66% of retail sports bets in Greece are non-paper, while in our smaller states in Cypress, we’ve successfully managed to migrate almost every customer with 99% of bets being non-paper in 2019. We are particularly excited about one innovation in Greece, which we introduced towards the end of 2019, retail cashout, which allows our shop customer to cash out his or her retail bet via our mobile app from the comfort of their own home. So, far, we’ve seen over 2 million bets taking advantage of this feature and appeals to those of our retail customers who want the convenience of using a mobile and the option of cashing out from home without the requirement of completing the online registration process. Finally, we’ve also started the full network rollout of our new live sports channel, which will further increase the number of live betting opportunities. Turning to online now on slide 21. And as promised previously, we’re showing for the first time, our online figures with regards to both customers and GGR. As you can see, actives in Q4 increased significantly, mostly due to our Tzoker acquisition campaign. In terms of GGR, the numbers are growing fast, albeit from a small base, reaching 4.3 million for the quarter. The addition of virtual games recently together with the new online regime in the second half of 2020 will enable us to introduce more products within the year and provide a further boost to both our customer and GGR figures. There’s no question OPAP’s online business remains a significant long-term opportunity and we are making good progress in this regard. The second part of our online strategy, namely our investment in Stoiximan on slide 22, continues to perform strongly with GGR reaching 76 million in Q4, up 46% and active monthly customers of 194,000. For the full year, Greece and Cyprus represented about 80% of total GGR while operations in the other markets, notably Portugal and Romania are also growing rapidly. In terms of products, casinos being the fastest growing vertical, now generating around 28% of the total Greek business, thanks to increased levels of cross selling to sports betting customers. Overall, we’re pleased with our investment which brought an €8.5 million of EBITDA for the year and are still working hard to finalize the second part of the deal, which we hope will allow us to acquire much bigger stake in the Greek and Cypriot operations. TORA, on slide 23, also picked up pace in Q4, though payments transactions increased by 76% in Q4, reaching 2 million transactions for the full year with positive reception from both agents and customers alike. We are close to operational readiness for the new Tora app but due to the coronavirus impact, it’s been pushed back to later in the year. 2019 also completed the multiyear technology transformation. And on slide 24, you can see clearly how OPAP has managed to secure much greater control over some of the most important parts of the technology and systems that drive our business. It’s also clear that we are well-prepared for the future development plans in a multichannel world and have taken in house some of the most important development areas, notably the player account management system. In 2020, we’ll be shifting our focus more towards improving our customer engagements in CRM activities, leveraging the market leading Salesforce platform. With regard to people on slide 25. We continue to invest in the development of our employees and have once again received the Best Workplace award as one of the top 10 companies with the best work environment in Greece. Finally, on slide 26, it’s worth noting that throughout everything we do, we are still committed to enhancing OPAP’s reputation to be world class, and this is also progressing well. Notably, OPAP’s ESG rating has been upgraded to A since March 2019, exceeding the rating of 63% of our peers within the broader international gaming universe. So, in summary, on slide 27, 2019 was another significant step in the delivery of our 2020 vision. Over the last few years, we’ve made excellent progress in all of our eight strategic objectives and the Company is a much stronger one as a result. The foundations are therefore now very much in place to enable further growth beyond 2020. Having now concluded the 2019 review, the remaining part of our statement today will comprise an update from Pavel and I on the impact of the coronavirus pandemic on our Company. Starting with the facts on slide 29 and 30. From Saturday, March the 14th, the Greek government decided that all non-essential retail outlets in Greece, including all OPAP stores and PLAY gaming halls would remain closed until the 31st of March. This period has since been extended until at least the 11th of April. Our Greek horseracing facility in Markopoulo also remains closed and a similar shop closure restriction applied in Cyprus where our shops were closed from the same weekend and will remain closed until at least the 15th of April. As a result, the only activity that OPAP is currently able to operate during this period is our online operation in Greece where both registrations and activity, have experienced a notable increase in the last few weeks. Within the Company itself, now on slide 31, we started taking numerous precautionary measures to protect our employees from the end of February to before the onset of the virus in Greece. And since Monday, the 16th of March, over 97% of our workforce have been successfully working from home. We had one relatively early COVID-19 case within our employee base, but fortunately that individual has fully recovered and he is now working again. In relation to our agent network, many of whom operate their agencies together with other family members, we quickly implemented a number of steps in order to support and assist our loyal partners. We immediately froze any short-term payables due to OPAP and acted as intermediaries in discussions with our essential vendor agreements. We’ve also been assessing several other tailor-made measures for individual agents in order to minimize liquidity issues, and wherever possible reduce their risk during the closure period. We’re in constant communication with our network and have also prepared a set of guidelines to help them benefit from the various government stimulus measures. And in many cases, these benefits alone should cover a significant portion of that underlying fixed cost. As one of the leading companies in both Greece and Cyprus, we also realized that we must take a leadership role during this crisis, and therefore have an obligation to support not just our employees and agents, but also the wider communities in which we operate. As a result, there are a number of initiatives that OPAP has undertaken that will support the relevant authorities during this challenging period. As part of our renovation of the two children’s hospitals in Athens, we completed in [29], a modern infectious diseases unit, which can now be used to treat to coronavirus patients. We’ve also made available to the Greek medical authorities OPAP’s four dedicated mobile health units. We’re also fully supporting one of our OPAP Forward program members, Doctor Anytime, an online network of 5,000 certified doctors. And in Cyprus, we’ve made significant donations to fund the acquisition of medical equipment from China and to support the government’s extensive public information campaign. It goes without saying that we will not stop there and will continue to provide any additional support where we can. Turning now on slide 32 to the necessary mitigation steps we’ve been taking to address the financial impact of the shop closures. We are relatively fortunate and that a significant part of our total costs come in the shape of variable expenses, primarily via GGR contribution tax, agent commissions on NGR, and revenue shares on some of our largest products, notably VLTs and sports betting. We’ve conducted a full review of all of our major contracts and are securing payment suspension or deferral agreements with many of them. Within any other discretionary operating expenses, we have frozen any uncommitted spend, and partially reallocated some of our marketing budgets to support our young online business, where we’ve seen some additional activity growth in recent weeks. Not surprisingly, we’ve also postponed any non-essential CapEx spend, although our CapEx has not been stopped completely, as it is essential that we are ready to bounce back strongly once our shops are able to reopen. Although the Greek government has put in place a number of employee salary relief measures, we have so far not taken any steps to utilize these, nor have we reduced employee headcount or employee salaries, although we will of course keep this position under review as we monitor the ongoing developments of the crisis. I’ll now hand over to Pavel who will provide further details on our overall cash position.
Pavel Mucha: Thank you. I will start with the dividend. As you are aware, the Company has had for some time a clear dividend policy, whereby we seek to distribute the bulk of free cash flows to our shareholders. This policy has not changed and indeed shareholders will recall that we paid a dividend of €1 per share in February this year. However, given the exceptional circumstances and the current uncertain duration of the shop closures, the Board has decided to delay making any decision about the recommended final dividend for full year 2019. Nevertheless, a recommendation will be made prior to the annual general meeting, which is scheduled to take place on the 25th of June. On slide 33, we set for you a picture of the financial impact of the crisis on our businesses. In summary, for as long as our shops are shut, we expect a GGR impact of about €130 million to €140 million, and negative EBITDA impact of around €50 million to €53 million per month, prior to mitigation actions, which would deliver savings of €4 million to €6 million. And specifically, we have a monthly cash burn rate of around €21 million to €22 million, after these mitigation actions. Although, we started full year 2020 in line with our expectations, it is unclear how quickly we will be able to return to previous levels of business, once our shops are reopened. And therefore, it is hard to assess the full impact in this financial year. On slide 34, you can see how the cash burn, which I mentioned -- how the cash burn rate compares to our overall cash position. From a position at the end of 2019 of €634 million, the subsequent dividend payment outflow of €172 million has been offset by operating cash flows of plus €36 million, plus the addition of €125 million of net financing proceeds. These €125 million net financing proceeds are made up of €325 million new facilities and draw-downs, partly used for the calling of our retail bond of €200 million. As a result of all this, our cash position yesterday on the 1st of April, stood at a healthy level of over €623 million. We have also shared the debt maturity profile of the Company, which shows that our earliest payment is due in 2021 and we expect to refinance that in capital markets and the bulk of all these facilities expire from 2023 onwards, with all our debt being provided by the local Greek banks. Overall, we believe that our cash position is strong, while the recent provision of these new facilities reiterates the confidence of the Greek banks in OPOP and our position as one of the strongest companies in Greece. With that, I will now hand back to Damian.
Damian Cope: Thank you, Pavel. So, in summary, on slide 35, I believe that after a good year in 2019 and the successful completion of our 2020 vision, the Company is in a good place with solid foundations in order to withstand the immediate challenges of the COVID-19 crisis and bounce back strongly with online clearly becoming a significant long-term opportunity. Finally, moving briefly to CEO succession. And as announced yesterday, I’d like to confirm that I notified the Board earlier this year that for personal reasons I did not intend to seek an extension of my four-year contract when it expires this summer. Since that time, they’ve been undertaking a formal search to identify a suitable successor, and a further update will be provided in due course. In the event that a permanent successor is appointed by the 1st of June 2020, then Jan Karas, currently Chief Commercial Officer, will take on the CEO role on an acting basis, supported by Kamil Ziegler, the Executive Chairman, until the position is filled on a permanent basis. As a result, I will be stepping down at the end of my contract on the 31st of May this year. Although the Board has asked me to stay on as an advisor to the Company and I will also be working with Sazka Group on further international development opportunities. It’s been a privilege to lead OPAP for the last four years. And I’d like to thank the Board and shareholders for their support and for the trust they placed in me during this busy period. Plus of course a huge thank you to the many employees, agents, vendors, and other partners who together helped the OPAP team deliver on a 2020 vision. Before handing back to the operator for any questions you may have, I’d just conclude by saying that the last few weeks has been an incredibly challenging time for everyone involved with the Company. As a predominantly retail business, we are wholly reliant on physical customer visits. So, closing our venues inevitably has a significant impact on our Company. We look forward to welcoming our customers back in more certain times. And in the meantime, we will actively support the health and wellbeing of all our stakeholders and the wider community while actively preparing for the reopening of our business. I know there was a lot to cover today. So, thank you very much for your patience. Pavel and I welcome any questions you may have.
Operator: [Operator Instructions] The first question is from the line of Kourtesis, Iakovos with Piraeus Securities. Please go ahead. 
Iakovos Kourtesis: Good afternoon, gentlemen. My first question, you mentioned that you will take some actions in terms of CapEx. As originally guided CapEx for -- and excluding the acquisition of Stoiximan, for 2020, amounted, if I’m not mistaken around €25 million. Could you quantify what would you expect CapEx for 2020 will stand after COVID-19 impact? Second thing has to do with Stoiximan. Do you have any potential timetable? Should we assume -- how should I think of it? Should it be concluded before we enter in the second half period? And in terms of mitigation actions, you’ve notified us about 4 to €6 million savings. Obviously, in this amount, you do not include any potential help by the government in terms of personnel costs. What are your thoughts on this? Would you expect it to use it after some period? I don’t know. Maybe you could comment on this, please. Thank you very much.
Damian Cope: Hi. Thank you for the questions. I’ll let Pavel answer CapEx and mitigation, because they are connected, and then I’ll pick up on Stoiximan.
Pavel Mucha: Okay. In terms of CapEx, yes, we have been indicating that our ongoing CapEx investment is around €25 million indeed. In the first quarter, we are pretty in line with our year-to-date spend and progress on all the projects. So, only small proportion of the full year budget has been spent. And what we’ve done on the CapEx, as Damian mentioned, we really frozen all the CapEx, which does not have immediate impact on our revenues until we know further. So, basically, what we did we continued to invest into the online, which is important part of the business now, and we have substantial CapEx investment plan for online. And also, we do some necessary back office and network related CapEx investment for the time being. But the rest of the CapEx has been really frozen and some of it we are already concluding that we move -- cut completely for 2020 and move it to 2021. There are projects like that. And the rest will really depend how long this closure will take, when we reopen, and how the situation is looking up. And we will be deciding case-by-case when we resume again these frozen projects, post the COVID crisis. So, that’s one the CapEx. And then, the mitigation plans indeed do not assume at the moment any use of the government help, which various measures have been announced. So, far OPAP is financially strong. And as long as this crisis is really shorter term and really we hope that the situation will recover relatively early, and obviously Greece is doing much better than some of the other countries, like Italy or Spain and the government measures and everything and the spread of the crisis here has been really modest. So, we still believe that if this shops reopen relatively shortly within the next weeks or couple of months, we wouldn’t expect that OPAP would be using any of the government help. So, the cost mitigating actions, which were indicated in the presentation, did not assume any measures taken from the government. But if the crisis would prevail longer, like let’s say six months plus, then obviously OPAP would have to carefully consider also these measures. And regarding Stoiximan, I will hand over to Damian.
Damian Cope: Yes. On Stoiximan, obviously we’re having to test our patience. Obviously, this transaction commenced some time ago. I’d just kind of remind you that first of all, their numbers really are impressive. I’ve been involved in online gaming for a long time. And right now, Stoiximan I think are probably one of the fastest growing online operators in Europe. And we’re delighted to have an investment in that group. We genuinely hope that the second part of the transaction will conclude soon. I can’t give you an exact time scale. But, certainly, I’m hoping that can get concluded in the relatively near future.
Iakovos Kourtesis: So, if I may ask, is there any possibility for the second part of the transaction to have a change in value initially agreed?
Damian Cope: I’m not going to comment on that. But, I would say that we’ve made good progress. We have a good relationship with the guys there. And we’re hoping to be able to come back with more details in the not too distant future.
Iakovos Kourtesis: Okay. Thank you very much.
Operator: The next question comes from the line of Draziotis Stamatios with Eurobank Equities. Please go ahead.
Stamatios Draziotis: Hi, there, and glad to hear that you all are safe and healthy and getting used to the new way of life, at least for now. So, thank you for taking our questions. May I ask, firstly, could you please tell us to what extent you think you can beef up your online business, given the current circumstances in order to at least have an alternative channel of significant size if the situation continues beyond May? So, that’s the first question. And secondly, but most importantly I guess, just wondering what sort of options do you have if lockdown measures remain in place for long period? I mean, are you aware of the options that the government might be considering regarding the loosening of the quarantine? For example, and this is just one idea that came to my mind, because we might have a situation in the summer whereby the shops might be allowed to operate on a more limited basis, let’s say. So, for example, not allowing people to spend time in the shop but just visit the outlets to submit their sleep, the coupon. Do you see this as a possibility? Thank you.
Damian Cope: Hi, Stamatios. And good to hear from you. So, first of all, online. Yes, I mean, no question. I mean, I mentioned before and I think it’s included in the deck that we’ve been significantly increasing, expanding the product portfolio. Don’t forget that until recently, we only had two products, sports betting and our JOKER lottery products. And you compare that to a lot of our online competition who have, if you like, the full set of armory, online casino slots, poker and everything else. So, we’re gradually building up our portfolio. Again, you would’ve seen that in Q4, we had monthly average actives of 77,000. We just finished March. We had over a 100,000 during the month of March, despite the fact that obviously the sports betting calendar was pretty much decimated from the middle of March onwards. In fact, we had 30,000 on Tuesday this week alone, when we extended the number of JOKER draws from twice a week to three times a week. So, that was encouraging. And with the introduction of virtuals last week, we want to do everything we can to make online an attractive place for online customers to play. We know we’re starting from a small base, but I hope everyone also appreciates that we are significantly growing. And I think that growth will continuing and will be helped by the arrival of the new online regime later this year. At the moment, as you’re probably aware, the regulation is still with treats at the European Commission. The consultation period has just concluded. As and when the regulation is published in Greece and then there’s a process as you’re probably aware, where applicants need to submit further documents and then the regulator needs a couple of months to review and then consider whether to issue licenses. So, we’re hopeful that in Q3, maybe Q4 depending on the impact of the crisis, that we would be able to be competing on a level playing field. But certainly, in the meantime, we are seeing significant increase in registrations on our business. On the what-ifs that you suggested, I think these are what-ifs that have been considered by retail businesses of any sort in every country, all over the world, everything from insisting people wear mask or insisting people wear masks and gloves or no more than two people in the shop at a particular time, I can’t really comment on what the government may or may not do. I certainly agree with you that judging by all of the many, many curbs that have been distributed, made public, Greece seems to be in a slightly better position than some other countries. I don’t want to jinx anything, but certainly we seem to be in a better place. I don’t think that necessarily will help the tourism in Greece. But, I do think that there is an opportunity for Greece to get back to normal maybe quicker than some other markets. There will inevitably be some kind of restrictions. I think any government anywhere in the world will be foolish to assume that you can go back straight to where we were before, saying that I’m not sure that will necessarily disrupt our business very much. So, if it means that there’s still, for example, like the supermarkets now, a minimum of two meters between people, I think particularly with our newer bigger shops, that’s still very possible for people to come in and place their bets or indeed place a bet on a game of KINO and watch it from the window outside. So, I’m not going to guess what may or may not happen in Greece, but I’m certainly optimistic about how quickly we can get back to business. I don’t know how quickly we’ll be able to ramp to, let’s say, business as usual levels. But, I’m confident that having been cooped up in their houses for weeks and probably months, there’ll be a lot of people very keen to come back and enjoy the entertainment that we offer.
Stamatios Draziotis: That’s very helpful. Thank you. May I just ask a follow-up on digital. Do you have any sort of data that you can share with us? I guess, it probably makes sense regarding your associate Stoiximan, or maybe what you’re hearing from other competitors in terms of how trading has been in the last -- in the second fortnight of March. The extent of the job -- the extent of which may be is -- the replacement, let’s say, of the sports book by virtual games have been successful. Do you have any data you can share with us?
Damian Cope: I mean, look, I’ve obviously been in conversations with a number of other operators in the industry. It’s fair to say that anybody involved in sports betting in any way, shape or form has had a very significant hit to their sports betting activity. You may or may not know that sports, like table tennis are now appearing in the top two or three of sports betting turnover for a number of operators, a sport that no one would probably have considered a few weeks ago. But, you can’t replace the Champions League, La Liga and the Premier League with table tennis. I would say that though the online operators are being very creative and ourselves included with virtual products and other alternative betting options, I would also say I know from other operators that inevitably online gaming, online casino and indeed specifically in some markets online poker has seen a good increase. But, I also know, it’s a kind of a partial mitigation of the losses, or the drops people are seeing in sports betting. Again, it’s no secret that almost all major sports betting businesses are driven sports betting first and then they then go on and cross sell gaming products to their customers. And if you look at the announcements that come from Flutter, GVC, William Hill and the rest of the other big sports betting brands, then that’s fairly consistent I think with what they’re saying as well.
Stamatios Draziotis: And just a final question from my side please. Could you just share with us -- roughly the cost of your new facilities?
Pavel Mucha: You mean the bank facilities?
Stamatios Draziotis: Yes.
Pavel Mucha: Well, I don’t think it’s for public. It’s in the normal market conditions. And obviously, we have used part of it to refinance previous retail bond. So, it’s significantly lower than the coupon, which we had on the previous retail bond.
Operator: The next question comes from the line of Pease, Victoria with Edison. Please go ahead.
Victoria Pease: Hi. Good afternoon. And first of all, Damian, wish you all the best for your next endeavors. And then, just a couple of questions. I’m just looking at the numbers, it seems to me, at least on an IFRS basis, net debt just over €600 million at the moment just to confirm that. And also, is there anymore payment due for Stoiximan that we should factor in, or is that all done now? And just the second question on your lottery in Q4, if you could just quantify how much of the JOKER rollout was part of the slight shortfall? 
Damian Cope: Sorry, Victoria. Good to hear from you. Just one second. I’m just going to repeat the question to Pavel, one second.
Pavel Mucha: Okay. Sorry. We couldn’t hear. Yes. As we announced, our net debt at the end of the year was €409 million. I think, you were referring €600 if we understood well. So, our net debt position at the end of the year was €409 million. The payment for Stoiximan, obviously it’s -- we can not disclose it at the moment, and that’s going to be announced in the due course.
Victoria Pease: Okay. No, I was including IFRS, so just --- obviously I included the lease on top of that. So, as I was just calculating, the €600 million on an IFRS 16 basis. But, I think, that’s fine. So, just for the Q4 question?
Pavel Mucha: No. It doesn’t include the leases. It doesn’t.
Victoria Pease: Okay.
Damian Cope: And sorry, sorry, Victoria. The Q4 question was, if you wouldn’t mind repeating it?
Victoria Pease: It was just for the lottery, was just slightly lower than my estimates. And I think partially, it was the JOKER rollover. And I was just wondering if you could quantify how much was from the JOKER?
Damian Cope: You know, I don’t have the number firsthand, but if you want, we can get that to you.
Victoria Pease: Okay. Thank you.
Pavel Mucha: It’s around 8%, something like that of the total GGR, the JOKER, I mean.
Victoria Pease: Okay. Thank you.
Operator: The next question is from the line of Memisoglu, Osman from Ambrosia Capital. Please go ahead.
Osman Memisoglu: Hello. Many thanks for your time and presentation. You mentioned that there has been no application for government support yet. I just wanted to ask, if that also holds true for payment of corporate taxes, and social security payments of personnel? And somewhat related to this, what’s exactly in the cash burn figure that you provided? Obviously 6% increase in tax payments estimated. Thank you.
Pavel Mucha: Okay. Well, obviously, we have looked at all the government measures. And indeed, we were very cautiously discussing and waiting all the pros and cons whether we should now pay social contribution at the end of the match, as well as the other tax payments or rather we would take the relay offer from the government to pay it in August. And really, we weighted all the pros and cons, and for various reasons, we decided to pay now on time, especially given the strong position of OPAP. It’s a strong signal so far the government that really OPAP as a strong company can obviously support the Greek economy that way. But also, needs to be noted that we expect that OPAP as a result will be able to claim the 25% discount, which the government announced. So, that was part of the decision to pay on time and we hope to get some relief there. But going forward, as I mentioned earlier, if the crisis really continues longer, we will be again taking decision whether we pay the taxes on time in April, whether we claim the discount or not, and what we do. So, it’s not like -- we follow the situation day-to-day. We follow all the government announcements. We follow carefully our business situation and weight up our options if and when and which of the government measures we should take the advantage of. And really, we are trying still, even though it’s the crisis, we are trying to be as OPAP responsible citizen both towards our employees, towards our vendors, towards our partners and customers. And payment of the taxes now in the crisis was some of the things which we decided to do.
Damian Cope: I’d just echo exactly what Pavel said. We recognize that there are many organizations and many individuals going through a very, very tough time. We also recognize that we are in a better position than many. And as Pavel said, we’ll see how long this goes on. But for now, I think we need to take a leadership role.
Osman Memisoglu: Thank you. And the cash burn includes…
Pavel Mucha: The cash burn question, yes, you are asking how much of that is fix cost? Really large part of that is fixed cost. Because as Damian mentioned, OPAP has a very good OpEx structure whereby obviously many of the big items like the agent commissions, like major technology vendors who provide us with the platforms, all their payments and costs for us are variable and revenue related. So, with no revenues, we immediately managed to reduce those. And then, we look at all the discretionary cost. So, like marketing, media, but also some unnecessary services, given the shops closure and all these discretionary, we are trying to cut out. That was €4 million to €6 million, which we were mentioning. And the remainder is really this cash burn of around €21 million to 22 million, which are the absolutely necessary amounts to be paid, including the taxes and including the interest.
Damian Cope: I think, it’s work just adding, we obviously still have a business that we’re running. We have an online operation that’s being supported. There are a number of things within that. We are not holding back on providing CSR support as appropriate. So, we think we’ve got to a sensible level, given all the mitigation steps that we’ve taken so far.
Operator: The next question comes from the line of Mantle, Jacqueline with Cape Ann Asset Management. Please go ahead. 
Jacqueline Mantle: I just wanted to check on the cash spend question. Does that also include your minimum CapEx investments that you still need to make this year? And if not, how much is that roughly? And second was, what’s the kind of difference, what’s the driver of the difference between the EBITDA -- I guess the EBITDA hit versus the cash burn.
Pavel Mucha: Yes. The minimum cash burn, yes, look, it’s an average number. How we calculate it is we really -- we obviously have the normal business as usual, P&L projections, balance sheet projections, cash flow projections by month. And we really did various sensitivity analyses what we can cut immediately, what is easy to cut, what is a bit more difficult to cut, what we have to pay regardless, like salaries of people, service of the debt. So, within that it’s not that every month we have to pay exactly 21 to €22 million, obviously. Especially, with your CapEx question, these are the projects which have certain duration. You play something maybe 10% upfront, something the rest in six months. So, I would say the CapEx is relatively smaller amount of the 21 to €22 million. And really, there is some flexibility for OPAP to decide and manage a little cash spend. And hopefully, the facilities, which we were able to secure in the last few weeks and which improved our cash position, really you can probably calculate for yourself that even taking into account the Stoiximan payment, OPAP has sufficient cash to really be able to invest into CapEx into online and operate the Company even if it does zero revenue from retail for quite many months to come.
Operator: The next question comes from the line of Sarreau, Philippe with Pictet. Please go ahead. 
Philippe Sarreau: Just two very quick questions, I must say. The first one is Stoiximan, how much of the business is actually sports betting versus Tzoker, online games and so on today? Are you -- so I understand that the negotiations were probably continuing on prices. Is there a chance for you that the setback on sports betting now could allow you to get a lower price? And the second thing is, where are you regarding discussion with the Greek government on the GGR tax, please? 
Damian Cope: Hi. So, to take them one at a time. So on Stoiximan sports betting, I think I included in the deck. But, in terms of Greece, which is the biggest part of Stoiximan, 27% is casino and the rest is betting. As you probably know, in some of the other markets, they can’t offer all of the products. So, in Cyprus for example sports betting only. So, overall sports betting for whole of Stoiximan will be higher than 73%. On the negotiation with Stoiximan, getting a lower price, yes, maybe you are -- you should come in negotiate for us. Like -- it’s a deal we’re trying to conclude. There are obviously many, many moving parts going on in the world right now. And I’m sure Stoiximan might argue, they would have a higher price now, but anyway. So, I can’t really -- I can’t really comment on that. On the -- I think the last point was on GGR tax. Clearly, that’s something we’re very aware of. I’m sure we’ll be having a conversation later in 2020 about that. But, there’s probably not much more to say on that for the moment. Thank you.
Operator: The next question comes from the line of Panayotis [indiscernible] Capital. Please go ahead.
Unidentified Analyst: I want to have your comments regarding the dividend policy. I mean, the results you announced were really good and despite the bad situation with COVID-19. We don’t understand your hesitation for the dividend -- to announce the dividend for 2020, given that your cash position is really very good stable as you said. I just want you to consider the fact that a larger number of the shareholders holding OPAP shares because of the dividend policy and the large dividends you used to give? Just you may comment on that.
Pavel Mucha: Yes. Thank you for the question. Well, it’s nothing else but prudent and being a bit cautious, because no one from us really knows how this situation will evolve, how long it will last. So, I don’t think we need to make and rush the decision right now. Obviously, I said in my introduction that OPAP dividend policy to distribute bulk of the free cash flow. That still remains in the place. However, with the COVID crisis, that may be slightly adjusted for 2020 distributions. We still did very generous distribution of €1 per share in February. And for the final, we will come to BoD of OPAP, candid recommendation to the annual general meeting and ultimately the shareholders will decide on the dividend. So, you can imagine, if really everything goes well in the optimistic scenario, then obviously may be just shops open already from the first of May, we will ramp up the business. So, in June we will pretty much have one and a half months results and see how it goes, and for sure there will be some dividend recommendation. However, if we come to 26th of June, the crises continue, the shops remain closed and we will not know what happens, I think then your recommendation on the dividend might be slightly different. So, it’s nothing strange what we are doing. I think many companies globally have been delaying the announcement of the dividend, some of them even said there will be no dividend. And although you say rightly, we have very good cash position, we just try to be cautious and not to announce straight away some dividend distribution and trying to get different view in couple of months time. So, for sure, our dividend policy remains the same. And we will be making this announcement a bit later.
Operator: [Operator Instructions] Ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to Mr. Cope for any closing comments. Thank you.
Damian Cope: Thank you to everybody for joining us today. And I wish you all a safe and healthy period ahead. Thank you.
Operator: Ladies and gentlemen, the conference is now concluded and you may disconnect your telephone. Thank you for calling and have a pleasant evening.